Operator: Welcome to Investcorp Credit Management BDC Incorporated Scheduled Earnings Release of Third Quarter Ended March 31, 2021. Your speakers for today's call are, Mike Mauer, Chris Jansen and Rocco DelGuercio . A question-and-answer session will follow the presentation. I will now turn the call over to your speakers. Please begin.
Mike Mauer: Thank you, operator, and thank you to all of you for joining us today. I'm joined by Chris Jansen, my Co-Chief Investment Officer; and Rocco DelGuercio, our CFO. Before we begin, Rocco will give our customary disclaimer regarding information and forward-looking statements. Rocco?
Rocco DelGuercio: Thanks Mike. I would like to remind everyone that today's call is being recorded and that this call is property of Investcorp Credit Management BDC. Any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by visiting our Investor Relations page on our Web site at icmbdc.com. I would also like to call your attention to the Safe Harbor disclosure in our press release regarding forward-looking information, and remind everyone that today's call may include forward-looking statements and projections. Actual results may differ materially from these projections. We will not update forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our Investor Relations page on our Web site.
Mike Mauer: Thanks, Rocco. This past quarter, we saw a marked increase in activity in the broader market. Refinancing activity, which began to pick up around year end, accelerated and drove a large number of transactions. We saw several of the loans in our portfolio get refinanced, both during and after quarter end. As we consider our pipeline, refis and new LBOs are the primary drivers. With a robust primary market, we continue to see strong competition for deals with most of the pressure coming on pricing at the larger end of the market. We have maintained our credit discipline. We haven't chased deals which have unattractive structures, even when these deals are refinancing the portfolio companies that we are comfortable with. Apart from structural trends, we also see that most deals are pricing tighter. We're focused on credit quality and loan structure first, we accept that in this market spreads are tightened. Sector selection remains a key tool in our portfolio management decisions. We are avoiding new investments in oil and gas, as well as in sectors which were hit hardest by the pandemic, such as retail and hospitality. Many of our borrowers were well positioned to rebound from the effects of COVID on their businesses. We've seen this begin to play out in the numbers with strong second half performance in 2020. Our investment activity during the quarter continues to be balanced between club loans and middle market syndicated loans. During the quarter, we invested in one of each and since quarter end, we have invested in two additional new portfolio companies. First we'll go into detail about the investments and realizations during the quarter and then Rocco will discuss our financial results. I'll finish up with commentary on our financing activity during the quarter, our leverage, Investcorp's share purchases, our dividend and our outlook for the next few months. As always, we will end with Q&A. With that, I will turn it over to Chris.
Chris Jansen: Thanks Mike. We invested in two portfolio companies this quarter, both of which were new. We also had three full debt realizations and one equity realization. Our first investment was in the first lien term loan for  brands.  designs, sources and markets, footwear products. Sponsor is Gainline Capital Partners. Our yield on this club loan at cost is 8.5%. A second new investment was in the first lien term loan for auto lenders. The company is a vertically integrated auto sales and leasing platform. Our yielded cost is 8.5%.
Rocco DelGuercio: Thanks, Chris. For the quarter ended March 31, 2021, our net investment income was $1.8 million or $0.13 per share. The fair value of our portfolio was $251.8 million, compared to $257.7 million at December 31. Our portfolio’s net increase from operations this quarter was approximately $3.7 million. Our new debt investments during the quarter had an average yield of 8.5% and realizations and repayments during the quarter at an average yield of 11.3%, and fully realized investments had an average IRR of 12.3%. The weighted yield of our debt portfolio was 8.77%, a decrease from 99 basis points from December 31.
Mike Mauer: Thank you, Rocco. We're very pleased to place a new bond this quarter. We closed on 65 million of new  notes due 2026, which raised net proceeds of 63.1 million. In April, we used these proceeds to fully redeem our 2023 notes. The net effect is to provide us with additional long term capital to fund our investing activities as well as lowering the cost of loans. Our guidance on leverage remains a target of 1.25 times to 1.5 times. Last quarter, we were within that target at 1.43 times. This quarter, our leverage artificially peaked at quarter end due to the notes placed before normalizing at 1.5 times. We anticipate that our normal investment activity will keep us around this rate. I do want to touch on the non-accruals in the portfolio. , formerly known as  was on nonaccrual last quarter. This position a small stub from our investment in Deluxe Toronto Limited represents our interest in the final wind down of the company. We have received a number of small paydowns and expect to collect additional thumbs over the coming quarters. 1888 has several term loans. The Term Loan B is subordinated to the Term Loan A, C and revolver. With those loans remaining on accrual abstinence significant changes in growing activity in 1888's market, we do not expect the Term Loan B to resume paying interest. PGI unexpectedly failed to make its interest payment on both its first and second lien loans. We are engaging constructively with our fellow lenders in both processes as well as the sponsor. For confidentiality reasons, we can't say more on this at this time.
Operator:  Our first question comes from Robert Dodd from Raymond James.
Robert Dodd: On Premiere Global and I understand there's confidentiality. So without going into all the details of what went on. Can you give us any color on what's a reasonable time frame to expect either resolution of the asset entirely or the current, whatever there may be issues going on with the business?
Mike Mauer: Robert, unfortunately, we don't have a timeline. It has been a recent event. So everyone is in the beginning stages of discussions, it's not in the later stages. So we do not have a timeline at this point on that.
Robert Dodd: Another one that stands out kind of Exela Intermedia. Obviously, it's marked down. It's still on accrual but it's marked down pretty substantially. So can you give us any color on what are your expectations are there, I mean, will it stay on accrual status? And on that, Mark, is there anything you can tell us about expected or potential outcomes with regard to that asset?
Mike Mauer: Robert, on that we keep watching it closely. We have discussions among some of the lenders. It is one that the company continues to make moves and there’s all public information out there on some of the financings they've done, some of the contracts have gotten. So they've made several moves in order to keep liquidity and so they have continued to make payments. We think that we've got it marked actually a pretty attractive level. And we think that that is indicative from a market perspective. But until we get some guidance that they're not going to make an interest payment, we're going to keep it on accrual.
Robert Dodd: And then just in, in general, with -- so beyond those assets. Are there any other assets that that you're seeing any warning signs in or anything that we should be paying particular attention to given obviously, there are some -- there's still some stress out there in the economy, et cetera?
Mike Mauer: It's a great question and I'll just use your question as maybe digress on two or three things. One is, I think, in speaking, my partner, kick me from six feet away under the table here. I think I said $15, not $0.15 for the dividend next quarter. And so that I wanted to highlight. The other thing is -- and when we look forward, the June quarter, I would expect to that because of the bond and we had several investments to repay in this strong market and we had two or three delay in funding that the June quarter will not necessarily cover the dividend, but our projections are with the reinvestment we should be covering the dividend going forward beyond that. So I think that's one important thing. The other thing is the asset that we always talk about, and you did not ask about today, so I thank you. But I'll bring up 1888. If oil continues to hold in this 60 plus or minus, it's been $64, $66 last couple of weeks, but high 50s, low 60s. We are seeing a fairly slow but constant increase in rigs, especially in the Permian, it's still significantly below where it was pre-COVID, but we are seeing a very nice consistent pickup in that business. So we're not concerned on that one in the current environment.
Operator: Our next question comes from Paul Johnson.
Paul Johnson: I suppose non-accruals for a big driver of this. But I'm just -- and I know you answered the question a little bit to Robert with around the dividend. But in terms of like the interest income coming off the portfolio, just given yields and spreads, and repricings that are taking place in the market. I mean, do you expect to be able to bring that level of interest income kind of up from this quarter $6 million to $7 million kind of range, or do you have any kind of line of sight on maybe kind of where we run from here?
Mike Mauer: So new investments we are assuming because of the environment and we're not going to stretch and take on undue risk. We're assuming kind of in an 8.5% to 9% average. We also are assuming that from our quarter end, which was around  of invested assets that we are in the process and we've got a pipeline of deals we're looking at that we should be closer to  to  that would not change our leverage, that's primarily using the additional cash that came from the baby bond. Hopefully that helps.
Paul Johnson: And then I guess just one kind of broader question. I mean, within your portfolio, all your companies or even deals that you've looked at, particularly with the businesses that are maybe more labor -- manual labor intensive. I mean, have you seen any signs of inflation pressure throughout the economy or just in middle market businesses?
Chris Jansen: We haven't seen it specifically. We're aware in the lower middle market. There are those pressures with hourly workers. But a number of our businesses that rely on a more skilled workers are seeing some wage pressure but they're seeing pricing coming in. Some of our companies like in IEA, for example, that can draw pricing. And others, kind of across the portfolio, we've been surprised by the resiliency on their revenue side as well, say for the discussion we've had on PGI and a couple others.
Operator: Our next question comes from Christopher Nolan.
Christopher Nolan: Mike, what was the driver for the decrease in portfolio yields in the quarter?
Mike Mauer: The primary driver of the decrease in portfolio was that we had repayments, and they were coming and that averaged around 11.3% and our new investments were at about 8.5%.
Christopher Nolan: And then a more strategic question. A month or so ago, those talk about significantly increasing the capital gains tax. How do you think that affects your company, the BDC group, given so many deals come from private equity?
Mike Mauer: The short answer is, I'm not sure it changes it materially other than there's a real motivation by private equity sponsors at the margin to monetize so that they can, to the extent, available avoid the increased tax rate, assuming that the tax rate goes up prospectively not retrospectively. That having been said and why I say, I don't see it huge, is there is about a trillion five depending on who you talk to have private equity capital that's been raised. And so from a new deal, forget about deals being refinanced, new deals, there are significant amount of new deals and a fairly good pipeline of things for us to look at. So I think that you will see some pressure from the 1.5 billion sourcing new deals. But the capital gains tax definitely is the motivation for monetization at the margin, people aren't going to sell things below where it makes economic sense.
Operator:  At this time, we have no further questions.
Mike Mauer: Thank you, everyone. We look forward to talking to you soon.
Operator: This concludes today's conference call. Thank you for attending.